David Lockwood: All right then. So good morning, everyone. Welcome to our Half Year Results for the Six Months to 30th September 2024. Obviously, this is a result for six months, but we only stood up doing a business update 12 weeks ago for the full year. And we've had the AGM statement as well since then. So this will be kind of a comprehensive walk through the numbers from David and then kind of what's happened since we last spoke to you from me. For the six months, successfully delivered performance and growth. We'll touch on it quite a lot between us, but we said, when we first started in Babcock, performance drives growth in a company like Babcock, because we have a lot of frame contracts where customers have a lot of discretion about whether or not to take optional work. So if you're performing badly, they don't, if you're performing well, they do. Those frames then generate further growth. So in terms of securing the position of the company performance is the bedrock of growth. So that's why those are in that sequence. We did deliver 11% organic revenue growth in the period. Order book broadly flat, but as David will talk through as he goes through the detail, largely driven by consuming frame contracts, because our order intake is necessarily lumpy. And indeed, in some ways, the lumps get bigger, the best you perform because if you're performing well in a support contract, people tend to give you longer periods, which means you get fewer, bigger lumps. So it's nothing to concern about. Strong cash conversion again and progress on, towards our margin targets. So really, I think, significant progress in the period towards our medium-term guidance. But to fill all the color on that before I come back and just talk through the highlights of the last period. David will take you through the numbers.
David Mellors: Thank you, David. Good morning, everyone. My three main messages today are. Number one, this is a really strong set of results with revenue and profit growing well. Number two, cash flow is significantly ahead H1, albeit with some favorable timing. And number three, FY'25 will be another good year of progress towards our medium-term guidance. So these are the financial headlines released this morning. The key points to note are that the organic growth was up at 11%, and that's on top of the last two years of double-digit growth. Underlying operating profit was up 10% at constant currency, notwithstanding the strong comparator period. Margins were 7%, which was flat. And margins, we had a very strong comparator period. EPS was up 14%. Cash conversion at 80% assisted by some timing impacts, I'll come on to. But this cash conversion, coupled with the reduced pension obligations delivered much higher free cash flow of GBP95 million and debt reduction to 0.6 times on the gearing ratio. And finally, the dividend is up 18% to 2p. So let's start with the income statement with revenue first. This is the summary revenue bridge by sector before we go into the sector detail. You can see the organic growth for the group of 11% broken out by sector, and three of the four sectors are growing well, particularly Nuclear and Land, which I'll come on to in a moment. Next, profit. This summary shows the 10% organic profit increase by sector. And again, we'll come on to the sector detail in a moment. But the summary here shows the very strong performance in Nuclear, good performance in Land, partially offset by Marine. And this is what we expected given that the prior year was particularly strong in Marine with the recognition of significant license fee income on Arrowhead 140, which we disclosed a year ago. So now moving to the sectors with Marine first. The key points here are revenue grew 6% organically in the half despite the prior year having license fee revenue. This growth was mainly driven by the ramp-up of the Skynet program and the return to growth of the liquid gas business. Skynet revenues in the first half were approximately GBP70 million. And additionally, zero margin program revenue was approximately GBP100 million, and that's Type 31 is the largest part of that. Profit decreased to GBP40 million in the sector which actually was a similar level to H2 last year if you take out the Type 31 charge. The reason for the period-on-period drop versus H1 last year, again, was the absence of license fees this period, which were very strong last year. On top of that, I mentioned last year, the increase in Rosyth overhead and support expense and obviously, we have that for the full six months this period. So the low margin of 5.1% was also diluted by the prudent initial margin recognition on the Skynet program, which we expect to increase over the next year as we work through the program. So whilst 5% is low for Marine, we still expect that to achieve the medium-term goal of 8% or above. Nuclear, on the other hand, had another very strong period. The organic growth was 22%, we saw very significant growth in Civil Nuclear, 30% up with growth in both new build and decommissioning. Submarine support volumes also increased, including the ramp-up of the Victoria's deep maintenance work and infrastructure or MIP revenues in the half increased to GBP273 million, leading up to the point where we reopened 9-Dock in September, which is one of the three big infrastructure projects ongoing. So for the full year, infrastructure revenues are not easy to forecast accurately. I do expect the infrastructure revenues to decrease on the first half peak. Now 9-Dock is open. Broadly, I think the full year will be similar to last year but with risk on the upside. Moving to profit. All the revenue increases helped the profit growth, obviously, but margins were also boosted by the new revenue mostly being at better margins than historically. And furthermore, inflation recovery within some contracts improved partly due to contract changes. And we also have a small amount of risk release into profit as milestones are achieved. And I've noted that on here. So all these factors help the margins take a big step forward to 8.7%. So nuclear hit its medium-term goal ahead of schedule. Moving to Land. So the main factors driving the revenues 9% higher as set out here and include increased Land support activity in the DSG contract and higher vehicle volumes, both Jackal production and South African mining trucks. And this revenue growth drove profit increases, too, but also profit was helped by the improved DSG performance in the final year of the contract. And this sector also benefited from better inflation recovery, again, partly due to contract change. And also, there was a small property provision release that I've noted here, GBP3 million just for transparency. Overall then, the Land margin at 7.7% is much better than the 5% we had three years ago or so and well on the way to 8% plus. So on to Aviation. Thankfully, we don't have any divestment impacts to strip out of the numbers anymore. So it's a lot cleaner. As expected, organic revenues went backwards 4%, which is the impact of last year's H160 aircraft deliveries in the comparator. And now that program is in the longer-term support phase. And on that topic, I flagged before there are other programs in the pipeline with this similar sort of upfront revenue profile largely due to aircraft delivery, which boosts the early phasing of revenue, which we hope to win. So revenues may be a bit lumpy. And you may have seen in the announcement this morning, that we have been notified with the preferred bidder on the MENTOR2 program in France, which is a significant program of this type. So we intend to get that under contract in the second half of the year and I can give you more about the financial profile at the full year. So that's a good new story. Moving to the profit in the half. Profits were flat in Aviation. And again, the comparator had some one-off credits in it to a small degree and margins were 5%. This is obviously much better than three years ago when this sector was hovering around breakeven and is progressing towards the 8% goal. So on to the cash flow. This is the usual busy slide that gives you all the detail and I'll only pick out a couple of numbers. But the key point is in the title. And that is that free cash flow is significantly ahead of H1. So into the detail then in the middle of the table, we have the operating cash flow of GBP135 million and cash conversion of 80%. This operating cash flow was higher for H1 than expected and this was due to working capital. So in short, there was very little working capital reversal in the half, and that flattered the H1 performance. At the full year last year, we disclosed about GBP50 million of early receipts from customers and we flagged that they would reverse this year. And not surprisingly, most people expected them to reverse in H1 as did we. And indeed, they did. But would you believe that at the H1 period end, we got a similar amount from a number of customers which is great news to have that cash early, but it is over and above the normal cash cycle, and it's unlikely to keep happening. So that will reverse in H2. So looking down to free cash flow, you can see the pension deficit repair contributions have reduced period-on-period following the two pension scheme funding deals we disclosed last year and everything else landed where we expected. So this all delivered GBP95 million of free cash flow or if you think of the pension deficit as debt GBP190 million of free cash before debt pay down. Lastly, I've added some detailed guidance on the slide here for the full year. Overall, given the performance to date and the timing differences, the full year will be H1 weighted. And so on to the balance sheet, I put this slide up at each results presentation to show the progression of the main balance sheet captions all in one place, because I think it is important to see them all together. The key takeaway of the slide is that the balance sheet is in a much more robust position than it has been. In the top box, you can see the deleveraging over the period to a gearing ratio of 0.6 times. And that's a rolling 12-month calculation, that gearing ratio. So it still includes the GBP90 million charge from Type 31 at the year-end. The middle box is the pension deficit and the important actuarial deficit as well as the accounting one. I'll come on to pensions on the next slide. But as deficits are not included in the gearing ratio, it's important to have them set out alongside. The third box is working capital. So we've overachieved on working capital now for the last three years, leaving us with a very negative working capital position, which is good. But as I've said before, this leaves us with a risk of reversal, particularly on big programs. And this remains the case. Also to remind you, included in here is the Type 31 contract liability, which is about GBP180 million. So there's no new news on working capital, but just a reminder of what we have flagged before. And there's nothing really to say about the last box, the wind addressing box at the bottom, but we just keep it on to convince you we're not dipping in that part. Pensions. Pension deficit position next. This is the updated slide showing the journey from the GBP700 million deficit to where we are today. So on an actuary or technical provisions basis, we're now down to GBP160 million or thereabouts compared to GBP300 million a year ago or GBP200 million at the year-end. We disclosed in the summer, we've agreed long-term funding deals with trustees of two of the three big schemes. And these schemes are now closing to future accrual right now at the moment. And this derisks the schemes and reduces the annual deficit repair contributions to the GBP40 million that we mentioned and that will be the case for the next few years. And the third big scheme, Rosyth, we're undergoing the valuation as at March '24 right now. So there'll be more on that hopefully at the year-end. So lots of good progress on the pension obligation. This is the capital allocation framework we published last year. So just to touch on the top three priorities. Priority one, organic investment in the business. As you know, we're in an investment catch-up phase, both through CapEx and OpEx to support delivery, improve control and enhance growth. We're spending GBP50 million a year CapEx on submarine infrastructure. We're investing in systems and capability around the group, amongst other things. That's priority one. Number two is financial strength, and you've seen the balance sheet improvement. You know we're now at BBB+ with Standard & Poor's. And it's very important for all our stakeholders, we protect that strong balance sheet. The third priority is the ordinary dividend. And we said last year, we reinstated the dividend at a prudent level given the investment priority and the need to trade out onerous contracts and get the pension schemes to a better place and we intend the dividend to be progressive over time. And then there are the three options in the boxes below those three priorities. And you know we've already taken the pension option, the acceleration of the pension schemes. We did that at the year-end to enable the long-term funding arrangements. And we started to look at a couple of potential bolt-on acquisitions. Any bolt-ons we do will be very focused. And of course, we'll ensure we keep the strong balance sheet. So to finish on the outlook. H1 was a really strong start to the year and we're confident we can get to the FY'25 expectations. Just to support that, we had around 90% of this year's revenue under contract to the half year, which is about the right shape. So that supports what we thought is the right shape for H2. And we remain confident that we are progressing towards the medium-term guidance. And with that, I'll now hand back to David.
David Lockwood: Thank you. Can I just go off script for a second and just say, I've waited for eight years for David to say and that's a good news story. So delivering sustainable growth, the bedrock is operations and delivery, as I've said. We've talked a bit about the market dynamic. We also talk a bit about how military need is greater than budget growth. And how is that reconciled? It's reconciled by the kind of things Babcock does availability, capability and affordability most crucially. So everyone has talked about across all of the Western defense scene. Everyone has talked about getting better capability, better lethality from existing budgets as well as budget growth. And that's kind of central to what we do. So that reconciliation, we see ourselves as a big part of. And we deliver that through ever enhanced through life support, delivering greater availability through developing products and Type 31, I don't like focusing too much on 31 because it's a relatively small amount of our revenue. But it's a good example of taking our experience in creating enhanced support environments and turning that into highly capable, but highly affordable new platforms. So 31 grew out of our understanding of support. And finally, advanced training because that's, again, is about helping the people who operate the equipment, use them and utilize them more effectively so they deliver more capability from existing platforms. And we've talked about our strategy for growth, that this was in the Capital Markets Day, which is about optimizing our position and selecting new programs in the UK. And that's about what we bid, but also what we don't bid. So you will have seen in the announcement we withdrew for a competition in the training environment in the UK. That was because we have very, very clear criteria for bidding or not bidding. And probably in the past, we've carried on too long to the point when we -- it was -- we might as well finish. This was a very -- we can't see how this program would shape up to meet our investment criteria. So we stopped. And a couple of people have written that up as a bad, bad news story. For me, I think it's a really good news story, because it shows the discipline we now have in where we invest our bidding resources. We want to expand in the focus countries. These are Canada, France, South Africa, Australasia and you've seen the down selects in France to support that. Good progress on JP9101 in Australia, drive direct exports, but also strategic partnerships. And I'm going to touch on that because I think in a number of markets going in with a local partner to grow our presence is the best way to do it. But as I keep saying successful program delivery drives growth, so the infrastructure work at Devonport, which is astonishingly complex turning Victorian docks into something that will last through to the second half of this century is an amazingly complex task, working very closely with our customer to make that happen. The DSG contract we talked about a lot, but when I arrived was a kind of -- was the thing that hung around our neck in terms of coverage, now it's seen as performing really well. We have lots of incoming international delegations looking at how we do it. The extension is on – is really takes us to the next level. So a good example. Secure comms, I just wanted to focus on Skynet. We talk about the difference between the old world and the new world. And I've said since I got here, 50% of our destiny is the contract we signed. This was a good contract. 30% is how we mobilize. We put huge amounts of effort not just the business but the corporate functions, which didn't use to exist, working with the business to mobilize. That has gone super well and has already generated additional work, which wouldn't have happened if we've been kind of bouncing along the bottom. And then energy transition, David touched on the growth in Civil Nuclear and how we are growing our resources to support Energy Transition and Civil Nuclear, very important. I said I'll just touch on collaboration. So the first one is the joint venture with HII in Australia. We have a broad relationship with HII, looking at a range of opportunities I was out with Chris, my opposite number, three weeks ago. We're just running down the list of things we can do together. And it's a very positive list the one that's got the most attention is a joint venture in Australia looking at helping build Australia's sovereign nuclear capability. Australia will be the first country ever to go military nuclear without a Civil Nuclear industry to base it on. So that's a really important business. And David sits on the board of it to make sure that it's joined up to the mothership but has real potential. Second is PGZ. Again, we have a central contract, which is Miecznik, their version of Type 31, where we've extended the contracts -- support contracts through to 2031. But again, I was there a couple of months ago and definitely there's options to grow use that to grow the broader PGZ relationship. Saab, where we have the design contract for the corvette, which should lead to further work part of a broader relationship with Saab. And then probably the new one for everyone, ST Engineering, so Singapore-based, who have some great technology. This is initially for a UK program. This is collaborating with a company for the UK program, but in that collaboration, we own a number of export markets. So and we've just completed a very successful field test in South Africa witnessed by the UK government. So very significant relationship, and again, can go beyond the single product. So I think this idea of a company of our scale working with local champions to grow in their market, our market and then more broadly is kind of going really well. UK, everyone has talked about this additional GBP3 billion for defense, recommitment to the 2.5%. We've spent a lot of time pre-election and post-election with the government and officials. I think both the defense review and the whole shaping is going well. And if you look at the sovereignty messaging coming out from government and if you look at the value for money messaging coming out from government, both Defense and Treasury, I think all of those very much work in our favor. So we are a people business. We are not an IP business, we're a know-how business, know-how travels in people. So having the right people in the organization, recruit, train and retain, it's fundamental to our success. In many parts of the business, Civil Nuclear, I've highlighted. Our growth is dependent on having a supply of people. So we have, as it says here, our largest ever intake of early careers, that's apprentices and grads. All schemes are subscribed to help train them. We've launched a Nuclear Skills Academy with City College in Plymouth. We've just got -- I won't read the whole lot. We've got exchange programs now going with Poland. We've completely stepped up our people agenda in the last two or three years. And that's gone really well. We've just completed our third global people survey and the encouraging thing there is that people that -- the really growth scores are in how people now see Babcock as a place to grow their career, much more than they did two or three years ago, how they see us focused on them, their communities and the mission. So that whole kind of almost corporate well-being scores about why would I want to be in Babcock have advanced year-on-year, which is going to drive our retention statistics. So it's a good lead indicator on retention. So it's not something we will ever get complacent on because it is, for us, a super important metric, but the whole people pipeline going very well. So kind of what we said 12 weeks ago, which is we're on track to deliver the medium-term guidance. We want the value we deliver to shareholders to be sustainable in the long term. We're a long-term business. We should be a long-term sustainable business. And all of the numbers point to that answer. So with that we'll take questions from -- God, that was quick. I didn't even get to say we'll take questions except for anyone over there.
Q - Sam Burgess: Thank you for taking the question. Good morning, David and David. Sam Burgess from Citi. Just two, if I may. Firstly --
David Lockwood: In the normal condition.
Sam Burgess: Yes. Once HMS Ventura is delivered next year, it sounds like everything is well on track with it. Would you be comfortable in saying that the risk of further provisions to the program is very low? You've spoken before about substantial retirement of risk once the first one is delivered. If you could just comment on that first, that would be great.
David Lockwood: So from an operational point of view, once we, the big thing now is to integrate the combat system. That's the last big thing. Once that's done, yes, from an operational point of view, we're in a much stronger place. Do you want to add anything?
David Mellors: No.
Sam Burgess: Great. Thank you. That's helpful. And just on DSG, great to see the strong performance. Given you've negotiated new terms on the contract, which will come in H2, should we expect the profitability of that contract to improve even more?
David Lockwood: I'm not allowed to talk about numbers, so you better look at David.
David Mellors: So, yes, it will be a better contract. The performance has picked up on the old one, but there will still be, yes. We may initially be prudent as we have been on Skynet, but I don't think that needs to worry you. So, will it help towards the trajectory of 8% medium-term? Yes, it will.
Sam Burgess: Great. Thank you.
Sash Tusa: Sash Tusa from Agency Partners. Nuclear keeps on getting stronger and stronger. I wonder whether you could just -- and it seems to continue to exceed your -- the expectations that you would have had of it even six months ago, but certainly a year ago. Part of that is just a flow coming through MIP. And you said that may peak or that may have peaked. But I wonder whether more broadly, do you think that there's a sort of a risk that MIP and your other nuclear contracts are being used as risk mitigation by the UK government in case there's slippage on dreadnought?
David Lockwood: No, because the -- because if you look at the dock, we just finished, that is to make it capable to take dreadnought, not the slippage. So, no, I don't think that's the case. And I think, we're still in a position where, particularly for non-UK work, our ability to bid is resource constraint. So if we can continue to drive the people agenda, I still think there's plenty of -- particularly in Civil, there's plenty of growth opportunity in Nuclear. So it's a no.
Sash Tusa: Thank you.
Joel Spungin: Hi, there. It's Joel Spungin from Investec. Just a couple of questions. So the first thing is on, David, probably for you on Skynet. Did you say it was a GBP70 million contribution in the first half? And you mentioned that you've been prudent in terms of the margin. Can you just maybe elaborate on that in terms of what the margin profile roughly is going to look like and how long it's going to take to get to a normal level?
David Mellors: Okay. You know we never talk about individual contracts and margins. So let's imagine in the fullness of time, it won't be a million miles away from our group target. And let's imagine that in the initial year, it started off at a very prudent level. But over the next year or so, so it's the first year or so, it's that mobilization phase we've talked about before, where 50% of the issues are in the contract, 30% is in the mobilization. So once we're through the full mobilization, so give it a year and we should be more confident to recognize it at a different rate.
Joel Spungin: Thank you. And then maybe just one other one, which is, I was wondering if you could maybe talk about the impact of the increase in NII on costs in your UK business and how you are planning to recover that?
David Mellors: Okay. So that overall for the group will probably -- the gross impact will probably be about GBP20 million a year. As you know, we have some contracts that are cost recovery. So some of that will be recovered straight away through those contracts. Others, we have rolling contract renewals or what have you. So we picked up in the fullness of time anyway. And then, the sort of net impact is sort of in the noise. I mean, as far as our trajectory to 8% goes, it's just another -- it's just another road bump really.
Joel Spungin: Thank you.
Christopher Bamberry: Good morning. Chris Bamberry. You mentioned you didn't want to go -- you didn't go ahead, sorry, with the tender for the Army Collective Training Scheme. Just really a bit -- elaborate a bit more on what you didn't like about the risk profile there that sort of thing?
David Lockwood: So there are -- when we look at any program, there's what's the capital employed, what's the risk and what's the margin? Yes. There's some very basic things we -- and the more capital employed, more risk, the higher margin you need. And it just didn't meet our criteria. And we have sufficient -- we have a sufficiently strong pipeline of opportunities. We don't need to chase things that don't. So and one of the reasons for highlighting it was the fact that it was part of our pipeline was mentioned in the Capital Markets Day, but also I think that bidding discipline, getting that first 50% right, not talking yourself into something you shouldn't really be doing is one of the core things that grows the quality of the revenue and gross margin. And it's very easy to take a bad opportunity and put stretch and help. And in the end, talk yourself into something. And I think it's a good example of the discipline we now have in our bidding process.
Christopher Bamberry: So second question, if I may. The upcoming strategic defense review. I mean, what are kind of your hopes and expectations around that, particularly in terms of the reform or procurement? What do you think might happen?
David Lockwood: So, I mean, the government has it both -- the party both in opposition and the government have said a bit like actually the last government said they want more collaboration where it makes sense and less competition, I think, that's good for us because in long-term frameworks, collaboration means you can do things that are good for both sides. So I think that's positive. They've talked a lot about sovereignty. Well, we're British. So that's positive. So I think there are a number of positive themes I think what we need to wait and see is how those themes turn into practical policy and process change.
Christopher Bamberry: Thank you.
Sash Tusa: Sash Tusa of Agency Partners again. MENTOR2, I think you said in the statement, it's GBP800 million. I can't remember if that's euros or pounds or that's close enough. Roughly, what do you -- would you expect the proportion of capital equipment to long-term services revenues to be? Is it a third upfront over the first of the mobilization phase or a quarter or something?
David Mellors: Yeah, so the reason I said I'll give you more detail at the full year is, I think, we need to get the contract finalized first.
David Lockwood: It could be shaped differently.
David Mellors: It could, yes, it could be shaped slightly differently. But I do expect there to be an upfront revenue phasing.
Sash Tusa: Okay. But for previous contract, MENTOR1, roughly what was the proportion?
David Mellors: So I don't think it will I don't think you can --
David Lockwood: Sorry, it's not going to look at all like MENTOR1. It's not. MENTOR1 is not a relative benchmark to MENTOR2. The way the customer is contracted, it's quite different.
Sash Tusa: Okay.
David Lockwood: David?
David Perry: Yes. Good morning. One for each of you, please. David, you had your slide on the sort of international partnerships. And maybe just a bit more color on AUKUS and also the Saab JV, just timing on any contracts there? And then for David M, please, on your divisional slides, you talk about EBIT. On three of the slides, you actually mentioned inflation, but I think maybe in a more positive way than before. Can you just sort of put it all together and sort of say what the risks and non-risks are of inflation for the group as of today?
David Lockwood: Yes. So mine is relatively easy. For Saab, we are under contract for the design phase. So like any procurement of its nature, the customer has to sign off the design before we move into the next phases. But so far, our relationship with Saab, which is very, very strong, continues to hold up well. And the Swedish customer appears to be content with what we are or more than content with what we're doing. So I think that's positive. As far as AUKUS is concerned, we have, as we've said before, I think last year, we are under contract for some AUKUS support work already in the UK. Do you want to talk about the JV since you're on the board?
David Mellors: Yes. So the JV actually largely the same as we said 12 weeks ago. There's a lot of engagement with the ASC in Australia. No significant contracts to date. We are obviously working hard with HII around skills, skills development, infrastructure that kind of thing. And we'll keep you posted. But both us and HII very positive and committed to it. And on your inflation question. So in both Nuclear and Land, there are a few contracts where we have had a level of contract change to protect against inflation where historically, we may not have had. In the main, we're in a much, much better position than we were two or three years ago on inflation. There was a secondary sort of benefit, if you like, in that even those contracts that had indexation, often it was lagging indices. So whilst inflation was spiking up, it would go against you. But when it's coming down, it's slightly more favorable. So I think there are a few million in both sectors is the impact. But I think the message is, we're in a lot better place from an inflation point of view than we were.
David Lockwood: Any other questions? Well, that could be the quickest half year or year we've ever done. So thank you for coming and we will see you after the year-end audit. Thank you.